Operator: Good morning. Welcome to Wesdome Gold Mines Conference Call to discuss the company's financial and operating results for the First Quarter ended March 31, 2024. As a reminder, this call is being recorded. Your host for today is Trish Moran, Wesdome's Vice President of Investor Relations. Ms. Moran, please go ahead.
Trish Moran : Thank you, and good morning, everyone. Before we get started, I'd like to point out that during today's call, we may make forward-looking statements as defined under Canadian securities law. I ask that you view our slide presentation for cautionary language regarding forward-looking statements and the risk factors pertaining to these statements. Please note that all figures discussed on this call are in Canadian dollars, unless otherwise noted. Our press release, MD&A and financial statements are available both on SEDAR+ and on our corporate website, wesdome.com. With us on today's webcast is Anthea Bath, Wesdome's President and CEO; Fred Langevin, our COO; Fernando Ragone, our CFO; Mike Michaud, SVP Exploration and Resources; and Raj Gill, SVP, Corporate Development and Investor Relations. Following management's formal remarks, we will then open the call to questions. And now over to Anthea Bath.
Anthea Bath : Thank you, Trish, and good morning to everyone. The first quarter was solid, Eagle River outperformed in terms of production and costs and Kiena's operating performance with a mine of expectation. Importantly, I'm pleased to report that subsequent to the quarter, we have started to process higher grade Kiena Deep. Since mid-April, we have consistently seen daily average growth in the double-digit grams per tonne. We are on track to meet our full year production guidance of between 160,000 and 180,000 ounces. However, I would highlight that between 55% and 60% of our production is expected in the second half of the year. In January, we also launched one of the largest self-funded exploration program in the company's history. We originally budgeted $30 million for exploration this year. But given what we are seeing at Kiena, we plan to add another $2 million to $3 million to drill up to another 10,000 up meters. For those for early in the year, exploration results are known to be positive with a new discovery of Kiena the which area and continued growth at both Falcon 311 and six central zones. The first quarter also marked a turning point. We hit a free cash flow inflection point, generating more than $90 million, a $39 million difference over the prior year period. Underscoring our commitment to maximize shareholder value with a three near-term strategic imperatives. The first is to optimize our assets and address the underutilized capacity at Mill. As part of our process, we are completing a full asset review of our mine and undertaking initiatives to improve our planning methodology and review the geological model to optimize mine planning. Next, we're going to derisk our plan and importantly, control costs. Planning is underway for roll out the second half of the year, mainly to establish and prioritize initiatives based to rate of return and minimize risk and implement continuous improvement initiatives in areas such as maintenance to improve our efficiency and increase our margins. Our third near-term objective is to strengthen our balance sheet. With this quarter's strong free cash flow, our cash balance increased $48 million, while still reducing our debt by 25%. The plan is to fully repower validate this year and to continue to improve our liquidity. And now over to Fred to review the quarter's operating highlights.
Fred Langevin : Thank you, Anthea. Good morning, everyone. Gold production at Eagle River came in at 24,899 ounces, an increase of 24% year-over-year, driven by the highest average quarterly rate achieved since Q2 2020. Two of our high-grade stopes, 599 Falcon and 9,300, which commenced production in 2023, carried on producing well into the first quarter, yielding more times than originally anticipated. As a result, the lower grade cycle originally anticipated in Q1, is now pushed into Q2 and Eagle River remains on track to achieve its 2024 guidance. Process tonne were 5% lower compared to Q1 of last year, when processing from the Mishi stockpile contributed about 6,100 tonnes to total throughput. When isolated for Mishi, contribution to processing from the underground mine was actually 7% higher than Q1 of 2023 partly offsetting the loss of Mishi as a source of mine. Metallurgical recovery was up 47% as a result of the higher recoveries typically achieved on the underground feed compared to those realized when processing Mishi zone and on the development side of things, high priority faces towards the high-grade 300 zone that tracked ahead of schedule in Q1, setting us up for continued strong execution in the future. Our Q1 production came in at 8,423 ounces, a 7% increase over Q1 of last year, mainly driven by a 7% decrease in tonnes gold rate came in at 5.1 grams per tonne as we continue to source a significant percentage of production from the lower grade market zone, while the focus of our teams is challenging remains squarely on infrastructure development in the set of the Kiena Deep for production. As anticipated today in Q2, Kiena grade is trending higher as the Martin zone ore is now depleted and the much anticipated higher rates from Kiena Deep are reporting to the mine. Development in ore is arguably the most reliable source of data for any mine to for future stopping. Development in ore, which is ongoing on Levels 127 and 129, is validating expected rates. With high-grade production from stoping of the 129 ramping up to reach that state, Presqu’île and Kiena Deep will step up meaningfully in Q2 and continue to trend upwards over the balance of the year. At Presqu’île, following the completion of portal excavation in Q1, ground support installation was initiated and underground development from the portal commenced in mid-April. This important exploration project is being tracked closely internally as it will be a key platform from which we will be able to drill several kilograms of gold in 2025 and we will be able to probe under-explored Presqu’île and Kiena with access to zones such as the Northwest zones. On top of the exploration potential that the mine provides, it also presents several opportunities to the existing operations, such as installation, secondary transportation and EBS and haulage assets. But more importantly, it will also allow us to leverage the 2-level infrastructure of supplement Kiena Deep production, starting with the testing zone. So overall, it was a solid quarter underpinned by disciplined execution and focus on long-term objectives that drove operating results in line with expectations and the completion of key milestones, which will translate into a solid platform from which to grow. As we move up the learning curve of mining and shift Kiena and continue to improve plant processes to manage freight variability in both of our assets I'd like to acknowledge the hard work of our teams at the two sites. And now over to Fernando, who will take you through this quarter's financial results.
Fernando Ragone : Thank you, Fred, and good morning, everyone. Year-over-year, first quarter revenue increased by 32% to €101 million, driven mainly by a 19% increase on ounces of gold sold. We saw during the period of 35,700 ounces of gold which was coupled with an 11% higher average real axed gold price. On a per ounce basis, cash costs and all-in sustaining costs were $1,517 and $2,226 respectively. This quarter's cash costs and all-in sustaining costs, reflects an increase compared to Q1 2023. Our absolute costs were generally in line with our expectations. However, lower grade at Kiena as a result of our mining sequencing impacted the denominator and cost and increased cash costs. Looking at here to the rest of 2024 as grade increases this year at Kiena, cost per ounce are expected to decrease as we leverage our fixed cost base. Net income was $10.7 million or $0.07 per share compared to a small loss in Q1 2023. Our free cash flow hit an inflection point this quarter. When we look at year-over-year, operating cash flows increased to $46.5 million, which is $40 million higher than Q1 2020. This represents $0.31 per share. Free cash flows improved to $19.5 million from a negative $20 million. This quarter, free cash flow reflects almost $30 million all-in-sustaining and growth capital spending during the quarter. Accordingly, our balance sheet continues to strengthen. When we look at the quarter since December 31, we reduced our revolving credit facility by $10 million, increasing the amount of available for drawdown to $121 million. Our cash position improved by 17% to $48 million. This represents an increase in total liquidity of 11% to $170 million. Based on our latest forecast, we expect to repay the remaining $29 million in our revolving credit facility by Q3 this year. When we look at the full year, we remain on track to meet our 2024 guidance. As mentioned earlier, Eagle River's low grade cycle was pushed forward into Q2. Therefore, its first quarter results should not be annualized and full year 2024 grade is expected to come within the guidance range. Conversely, Kiena production and grades are expected to ramp-up in Q2 and continue to build up throughout the year. And to summarize, our full year product consolidated production profile is expected to be back-ended weighted with approximately 55% to 60% of production targeted for the second half of this year. On the cost side, as output increases as Kiena commenced in Q2, we anticipate costs will trend lower as the year progresses, consistent with full year guidance. Moreover, with the chairman of our guidance, we expect to have significant liquidity which will allow us to repay our revolving credit facility and enjoy a strong debt-free balance sheet by the end of this year. With that, over to you, Mike, for an update on exploration.
Mike Michaud: Thanks, Fernando. 2024 is a big year for our exploration program. With a budget of $30 million and growing, we will be drilling more than 185,000 meters across surface and underground as well as delineation drilling at both Eagle River and Kiena. And while it's still early in the year, our drilling campaigns are already showing encouraging results. Let's start with the Falcon 311 on Eagle RIVER. A discovery made last fall in historically under explored area. Falcon 311 is the second zone we have to identify in the volcanic rocks west of the mine diorite. The first was the Falcon 7 Zone in 2019. Given the similar nature of two zones, our team was able to use this information gained previously from Falcon 7 Zone to quickly identify and define this new discovery and will be used to define new discoveries in the future. Since last fall, we have drilled over 20 holes and outlined the Falcon 311 zone to extend at least 200 meters along plunge, 100 meters along strike. It is interpreted to extend 900 meters to service, similar to that of the neighboring Falcon 7 zone. Falcon 311 is a high priority in this year's exploration program and follow-up drilling is ongoing. The 311 zone has the potential to provide additional mining horizons laterally and benefit from existing mine infrastructure. Stay tuned for new results which are likely to be released as soon as next quarter. Meanwhile, also at Eagle River, we continue underground drilling of the 300 East Zone to confirm the consistency of the high-grade mineralization that currently extends to the 1,600 meter level and remains open down plunge. Our mid year plan at the 300 East Zone is twofold. First, we are going to upgrade the large inferred resource space to indicated; and secondly, to turn up – to have step down drilling to provide an initial indication of mineralization below the zone that remains untested. In addition, we have established a new drilling platform in the 1201 elevation to optimize the drilling in this area, and the first hole [indiscernible] been started. Given warmer temperatures 5,000 meters from the surface drilling was reallocated to testing more targets within the mine footprint and also provide more time for more structural surface mapping, IP and 3D modeling this summer. Moving now to the historic 6 zones. We previously put out initial results in December with one underground hole returning 122.5 grams per tonne gold over 1.7 meter core length, from the volcanic rocks along straight from the mine diorite thus indicating the potential of these rocks to gold similar mineralization to that of the Falcon 7 Zone and 311 zones west of the mine diorite. An initial 10,000 meters of drilling is ongoing in the area between the 6 zone and the previously mined 2 zone approximately one product to the East. Drilling to-date has returned encouraging results, having intersected the mine structure, alteration [indiscernible] and trace amounts of visible gold, all along strike from the main mine mineralization In total, we're spending up to $15 million to drill about 125,000 meters from underground and service at Eagle River this year. Turning now to Kiena. We are also seeing early returns from the drilling, including the expansion and definition of existing zones at Deep and identification of potentially significant gold mineralization in historically under explored areas like Wish area from the 33 level. As a reminder, 33 level is a track drift at 330 meters below surface and extends from the Kiena mine east towards almost 4 kilometers and ends up there in the eastern boundary of the property. Since the completion of the PFS in 2021, drilling has continued to expand the Kiena Deep A Zone, now extending to 1,800 meter. Since that time, drilling has discovered several zones in the footwall, anyone along [indiscernible]. However, drilling of these new discoveries has been hampered by the location of available drill platforms. Until now, with the ongoing deepening of the main opportunity our drilling platform has been established on 127 level to test these new zones. The recent drilling from this platform has returned positive results including 55.6 grams per tonne gold over 3.5-meter core length at the footwall zone and over one ounce per tonne, 3.3 grams per tonne gold over 5.8 million core length at the South Limb. Given the steep plunge of the Kiena Deep, the development of drill platforms is critical to expand and better define additional resources. As such, we expect to continue to establish exploration platforms with the deepening of the main Kiena ramp. Growth in resource inventory in these areas has the potential to increase the ounces per vertical meter, and thereby, provide opportunities for operational flexibility and increasing production from each level. The next step of Kiena is to follow-up on the prospective areas proximal to the Martin and Shawkey Zone, and which area from the 33 level tractor currently being rehabilitated to facilitate more optimal drill platforms. This is an area of newer school showings and drill intersections with a limited number of holes. Earlier indications are the next that there exist several different signs of mineralization, indicating this is gold rich system and gold is being deposited in various geologic traps. The plan for this area is to methodically drill and update the 3D model to better define the potential of the mineralization and to prioritize the ongoing drill. One part of this prospective area, as you recall, is the Wish area, which is our newest discovery. It's located about one kilometer east of the Kiena mine and within 100 meters of existing mine development. Drilling of the Wish area has intersected narrow high-grade gold mineralization for court spanning in a favorable geologic setting non-tool mineralization, including the presence of more confident metric cross close to a geologic contact with automated products, alteration, courts paining and is adjacent to existing mine infrastructure. One recently reported drill hole from Wish area returned 36.4 grams per tonne over 1.5 meter core length and is on strike from historical that returned 65.5 grams per tonne gold over one meter core length. This mineralization is interpreted to extend along the mafic-ultramafic contact for over 300 meters along strength. And that’s additional drilling and added budget is warranted to follow-up on this initial success. The follow-up drilling is designed to focus on extrapolating this contact and related gold mineralizatio at depth and to provide an initial assessment of the size and potential continuity of the mineralization. Down the road, as we optimize the assets, this would allow us to leverage currently being developed for skill ramp to add incremental ounces from deposits in the upper level of the mine from 33 Level. Also to create an upper annual mine scenario and provide lower development costs. Surface exploration is expected to commence in June to drill test the depth potential of the highly prospective Presqu’île zone from surface where the higher grade resources remain opened up punch. Surface drilling is also planned using a bar to test the [Indiscernible] zone to confirm the new geologic interpretation and to convert the existing large inferred resource based indicators. During Q2, we plan to drill nearly 26,000 meters at Kiena, including more than 3,000 meters of surface drilling. We expect the next batch of assay results from Wish followed by Kiena Deep in the second half of the year. Over to you, Anthea.
Anthea Bath: Thank you, Mike. It is coming up to the one-year mark since I joined Wesdome, what initially drew me to the company was the jurisdiction, the quality of the asset and the considerable upside potential. Wesdome also has a low risk profile and a deep history in Canadian mining. We have two of the highest grade operations in Canada and the timing couldn't be better with a record setting gold price environment. Fast forward, and I'm now even more excited about what I see now. We are well-positioned to achieve higher production and free cash flow in 2024, and whilst we are focusing on achieving this year's guidance and our near-term milestone, we are driven by a locative strategy to maximize value. Operator, you may now open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Don DeMarco from National Bank Financial. Your line is open.
Don DeMarco: Thank you, Operator, and good morning at the end team. Well, it looks like you're not going to have any problem delivering free cash flow this year. If you're already positive free cash flow in Q1, congratulations. First question, though, when in the quarter did you start mining Kiena Deep? And how do you expect throughput to progress through the year?
Anthea Bath: Thanks, Don, and thanks for the question. Kiena Deep, we've really started mining in the middle of April. And we really, like I mentioned earlier, we really start to see the grades coming through in the middle. I think if you look at the year, you can consider sort of a slight increase over the year, as I said before, quarter two, quarter three, quarter four, start to upgrade from Kiena.
Don DeMarco: Okay. So maybe I missed it then. So in terms of tons per day, it started in April. So you maybe have half a quarter. I mean, it's just ramping up slowly, I guess, right? But do we expect to see a little bit of an uptick in grade then, the head grade in Q2? Or is it still too early for that?
Anthea Bath: I think you can definitely expect to see an upgrading in the grade, Don. Absolutely. That's how it works, yes. I think as I mentioned before, Q1, we weren't in the zone. We're now in the zone. And we've been mining from that zone and seeing the grades come through from the middle of April. We've seen double-digit grades coming through. And I think you should start seeing those numbers reflected in the grades of the next quarter.
Don DeMarco: Okay. And how many stokes do you have active in Kiena Deep right now, then?
Fred Langevin: Fred speaking here, Don. In Kiena Deep, at any given time, we have between, I'd say, three stokes, either in development phase or extraction phase or drilling phase, prep phase, if you will. But in mucking, really, there's only one stoke at any given time right now.
Don DeMarco: Okay, great. And maybe over to Mike, then. Regarding, Mike, you mentioned the drill platform at 127. When was that activated? And what advantage does it provide in terms of drilling Kiena Deep?
Mike Michaud: Thanks, Don. I would say that we've been drilling from there for approximately two months. The advantage it gives us is to start to better define and expand our known zones at depth that we drilled several years ago, like the football zone. We're expanding the south glen now. We hope to get into the hanging ball zone that returned some good values last year. And although I don't know that the platform's close enough or optimal enough at this stage to do a lot of delineation drilling in that area, it certainly is adding ounces to the inferred category. So we probably will continue with that this year. And then as the platforms become more optimal with depth and the platforms become more numerous, I would say, then we'll start to be able to do the delineation drilling and convert some of those inferred ounces into indicated. So the results so far have been quite positive. And it's exciting to get back to these zones that we were only able to drill a few holes in do before, and they seem to be holding together and looking good. So we're excited to keep going there.
Don DeMarco: Okay. And then what would we expect in terms of next updates and drilling at Kiena Deep, what timing and in terms of results from the 127 platform or other drilling of community, when would we expect that?
Fred Langevin: Yes. I would think that we'd like to get more results out in Q2. Certainly, we're going to have results all year. This is a big drilling program underground this year. 2023 certainly been exciting. I mean we went in there with a small program and do some exploratory drilling. We've had some really great hits around the Wish area. We're increasing drilling there. So we'll have a lot of results to come out of there over the next few quarters, also at Kiena Deep. And then, of course, the surface drilling is going to start end of May and June. That's going to include surface drilling from land at scale and also barge drilling at Dubuisson. So again, a lot of news flow in this sort of more in the second half of this year as we start to ramp up the drilling.
Don DeMarco: Okay. Thanks. And just final question, maybe back to Fred. Looking at Eagle ASIC, it's well below the guidance midpoint. Is there anything unexpected driving this outperformance? Or should we expect costs to increase through the year?
Fred Langevin: Well, really, at Eagle, what drove the overperformance on the cost side, things really was predicated on the ounces that we're able to source in Q1 and the higher grades. So as we I guess, get closer to the guidance range over the year, we expect costs to align with guidance.
Don DeMarco: Okay. Okay. Thanks for that. Well, congratulations again, and good luck continuing with Kiena Deep in the rest of Q2.
Anthea Bath: Thanks, Tom.
Operator: Thank you. And our next question coming from the line of Andrew Mikitchook from BMO Capital Markets. Your line is open.
Andrew Mikitchook: Hi. Just a very quick follow-up question to some degree, similar to the one that was previously asked. I just want to be crystal clear on this great expectation from Kiena with I think the wording was that some double-digit grades had already being sourced and processed since mid-April from Kiena Deep. And I just want to underline the word some, does that to be clear, like we shouldn't expect or you are frankly not, are you guiding the market to expect Q2 to potentially be at double-digits? Or is it kind of on its way to double-digits? please?
Anthea Bath: So I’m sorry, I wasn't clear enough and thanks for the question again. So just for clarity, you can expect to see in Q2 that will hit the average grade that we said in our guidance.
Andrew Mikitchook: Okay. I think it's very clear for everything else in the quarter and then the releases. Thank you very much. I'll pass the microphone on.
Anthea Bath: Thank you, Andrew.
Operator: Thank you. [Operator Instructions] And our next question coming from the line of Philip Ker with Ventum Financial. Your line is open.
Philip Ker: Thanks, operator. Team, just with the increasing cash flow and clearly a surge in the gold price here over the kind of first half of the year. You were able to decide to more aggressively pay down your credit facility. With that said or with those initiatives expected to be completed, are there other projects being evaluated that excess cash could be deployed to? And what are those?
Anthea Bath: Hi, Phil. Thanks for the question. Yes, I mean, absolutely. I think what we -- we're quite excited about the cash position to be moving into. And I think just to, first of all, say that the largest focus that we have, obviously, is on the execution of what we're doing and continuing to work on the opportunities that are available to us today. I mentioned a couple of the strategic imperatives we're working on, which includes obviously optimizing and understanding our assets, which is probably going to give us more clarity around what we should be thinking about into the future strategically. So I think to answer that question right now, I would say, it would be hard. But what I'd like to say is that we certainly are getting excited about what we're seeing at Kiena. I've said to Mike, I'd like to push him on driving the couple more exploration opportunities. If we can, do it quickly. We're really funny about making sure when we're spending capital. We're spending it effectively and efficiently. I think we have an idea of how we can probably add, as I mentioned in my comments a couple of -- I think, by 30,000 meters of drilling to that. So we'll do some of that. But at this stage, I think we’re considering strategic options. Team is working together to figure out all the options available to us. And I'm sure time will follow of sharing those.
Philip Ker: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. There are no further questions in the queue at this time. This concludes this morning's call. Please contact trishmoran@invest@wesdome.com. Thank you for participating today.